Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to BBVA Argentina's Fourth Quarter 2022 Fiscal Year Results Conference Call. We would like to inform you that this event is being recorded. [Operator Instructions] First of all, let me point out that some of the statements made during this conference call may be forward-looking statements within the meaning of the Safe Harbor provisions found in Section 27A of the Securities Act of 1933 under U.S. federal securities law. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information concerning these factors is contained in BBVA Argentina's annual report on Form 20-F for the fiscal year 2021 filed with the U.S. Securities and Exchange Commission. Today with us, we have Mrs. Carmen Morillo Arroyo, CFO; Mrs. Ines Lanusse, IRO; and Ms. Belén Fourcade, Investor Relations. Ms. Fourcade, you may begin your conference.
Belén Fourcade : Good morning, and welcome to BBVA Argentina's fourth quarter and 2022 fiscal year results conference call. Today's webinar will be supported by a slide presentation available on our Investor Relations website on the Financial Information section. Speaking during today's call will be Ines Lanusse, our Investor Relations Officer, and Carmen Morillo Arroyo, our Chief Financial Officer, who will be available for the Q&A session. Please note that starting January 1, 2020, as per Central Bank regulations, we have begun reporting results applying hyperinflation accounting pursuant to IFRS rule IAS 29. For ease of comparability, 2021 and 2022 figures have been restated to reflect the accumulated effect of the inflation adjustment for each period through December 31, 2022.  Now let me turn the call over to Ines.
Ines Lanusse : Thank you, Belén, and thank you all of you for joining us today. As we are all aware, in spite of a less favorable context and a local environment defined by the difficulty of correcting current macroeconomic distortions and meeting the established objectives in the loan agreement reached with the IMF, economic activity has shown dynamism in 2022. According to BBVA Research evidence suggests that GDP will increase 5% in 2022. Nonetheless, the global context, high local inflation, financial volatility, uncertainty about economic policy and the limited leeway to adopt new stimulus measures legitimate the expectations of a contraction of GDP in 2023. Referring to BBVA Argentina's performance, a better operating income in 2022 was the product of an improvement in interest income and interest from government securities. BBVA Argentina has a proper responsibility with society, characteristic of the bank's business model, which encourages inclusion, financial education and supports scientific research and culture. The bank works with the highest integrity, long-term vision and best practices and is present through the BBVA Group in the main sustainability indexes. Moving into business dynamics. As you can see on Slide 3 of the webcast presentation, our service offering has evolved in such a way that by the end of December 2022, retail digital client penetration reached 62%, remaining stable from a year back, while that of retail mobile clients reached 55% from 53% at the same period of the last year. The response on the side of customers has been satisfactory, and we are convinced this is path to pursue in the aim of sustaining and expanding our competitive position in the financial system. Retail digital sales have increased from 80% in the fourth quarter of 2022 to 83.9% of units and represent 56.9% of the bank total sales measured in monetary value versus 52.9% in the fourth quarter of 2021. New customer acquisition through digital channels reached 72% in the fourth quarter of 2022 from 66% in the fourth quarter of 2021. The bank actively monitors its business, financial conditions and operating results in the aim of keeping a competitive position to face contextual changes. Moving to Slide 4, I will now comment on the bank's fourth quarter 2022 and 2022 fiscal year financial results. BBVA Argentina's fourth quarter 2022 net income was ARS17.1 billion, increasing 50.9% quarter-over-quarter. This implied a quarterly ROE of 19.4% and a quarterly ROA of 3.6%. Operating income in fourth quarter 2022 was ARS61.7 billion, 8.6% above the ARS56.8 billion recorded in the third quarter of 2022. This is mainly explained by greater interest income driven by a higher monetary policy rate compared to the previous quarter, which allowed net operating income to increase more than operating expenses. This effect was partially offset by an increase in: one, other operating income; two, loan loss allowances; and three, a fall in foreign exchange and gold gains.  It is worth mentioning that in fourth quarter 2022, income from net monetary position decreased 12% given the lower quarterly inflation, which changed from 22% in the third quarter of 2022 to 17.3% in the fourth quarter. BBVA Argentina 2022 net income was ARS57.9 billion, 40.5% higher than the ARS41.2 billion reported in 2021. This implies an accumulated annualized ROE of 17.5% and an ROA of 3% in 2022 compared to an accumulated annualized ROE of 13.5% and an ROA of 2% in 2021. The increment in the bank's operating income is mainly explained by: one, an increase in interest income, mostly due to an increase in the position and yield of Central Bank instruments; and two, better net income from financial instruments at fair value through P&L explained by an increase in the position of LELIQ and inflation-linked National Treasury Bonds and by the sale of the remaining participation of the bank in Prisma during the first quarter of 2022. Turning into the P&L lines in Slide 5 and 6. Net interest income for the fourth quarter 2022 was ARS106.1 billion, increasing 18.1% quarter-over-quarter. In fourth quarter 2022, interest income in monetary terms increased more than interest expenses, mainly due to: one, greater income from government securities; two, an increase in income from interest from loans, in particular, credit cards and discounted instruments; and three, increase in income from REPO. The items mentioned take place in the context of increasing interest rate, resulting from an increase in the monetary policy rate by the Central Bank as well as an increase in inflation rate. In fourth quarter 2022, interest income totaled ARS201.7 billion, increasing 19.2% compared to the third quarter 2022. Quarterly increase is mainly driven by: one, higher income from government securities, both from an increase in the nominal rate and the volume in the position of LELIQ; two, an increase in interest from loans mainly credit cards and discounted instruments, especially due to the incremented interest rate and higher activity; and three, an increase in REPO premiums. Interest expenses totaled ARS95.6 billion, denoting a 20.4% increase quarter-over-quarter. Quarterly increase is described by higher time deposit expenses, although slightly offset by a fall in CER/UVA adjustment expenses, the latter connected to CER-linked time deposits. Interest from time deposits, including investment accounts, explain 79.9% of interest expenses versus 70.9% in the previous quarter. In 2022, net interest income totaled ARS339.4 billion, led by interest income from higher position and higher yields from public and Central Bank securities. Net income as of the fourth quarter of 2022 totaled ARS10.2 billion, decreasing 4.9% quarter-over-quarter. In the fourth quarter of 2022, fee income totaled ARS19.8 billion, increasing 2.1% quarter-over-quarter. The quarterly increase is mainly explained by fees from credit cards growing 4.2%, mostly due to more activity and consumption and fees linked to loans. Regarding fee expenses, these totaled ARS9.6 billion, increasing 10.8% quarter-over-quarter. Higher expenses in the quarter were partially explained by expenditures linked to credit and debit cards due to higher client acquisition costs, processing fees and higher expenditures in seasonal commercial promotions. Net fee income in 2022 remained stable with an increase of 1.4% as a result of a 6.4% drop in income and a 15.2% drop in expenses. The behavior in fees was mainly explained by the change of the credit card loyalty program from LATAM to Puntos BBVA. In fourth quarter 2022, loan loss allowances increased 52.7% mainly due to the update in the IFRS 9 impairment loss model parameters. This also explains the yearly increase. During fourth quarter 2022, total operating expenses were ARS57.5 billion, increasing 12% quarter-over-quarter, of which 32% were personnel benefits costs remaining stable versus third quarter 2022. Personnel benefits increased 12.7%. The quarterly increase is partially explained by the effect of collective agreement on wages with the unions on the fourth quarter of 2022, an increment in personnel compensation and bonuses and an increase in employee training expenditures. Administrative expenses increased 1% quarter-over-quarter. The quarterly increase is partially explained by: one, an increase in taxes; two, greater expenses in advertising costs; and three, an increase in outsourced administrative expenses. The negative effect of the aforementioned items was offset by a decrease in rent and software. The quarterly efficiency ratio as of the fourth quarter 2022 was 53%, improving compared to the 64.8% reported in the third quarter 2022. The quarterly improvement is explained by a lower increase in expenses than income, especially due to a significant improvement in interest income and lower quarterly results from the net monetary position. The accumulated efficiency ratio as of 2022 was 63.9%, improving compared to the 69.1% reported in 2021. The yearly improvement is also explained by a significant improvement in interest income. In terms of activity on Slide 7, total consolidated financing to the private sector in the fourth quarter 2022 totaled ARS734 billion, increasing 7.5% quarter-over-quarter and contracting 3.1% year-over-year. Loans to the private sector in pesos increased 7.8% in the fourth quarter 2022. During the quarter, the increase was especially driven by a 34.1% growth in discounted instruments, a 4.3% increase in credit cards due to the growth in activity followed by a 12.1% increase in overdraft and 5.1% in other loans. The latter are affected by greater floor planning activities through which the automotive consolidated financial companies' official dealership network gets its financing for vehicle stocks, spare parts and other goods. Loans to the private sector denominated in foreign currency slightly increased 1% quarter-over-quarter and remained practically stable falling 0.5% year-over-year. Quarterly increase is mainly explained by a 38.6% increment in other loans and partially offset by a 36.1% fall in credit cards. Loans to the private sector in foreign currency measured in U.S. dollars fell 1.5% quarter-over-quarter and increased 12.4% year-over-year. During the quarter, both the retail and commercial portfolio fell in real terms. Loan portfolio were highly impacted by the effect of inflation during the third quarter of 2022, which reached 17.3%. In nominal terms, BBVA Argentina managed to increase the total loan portfolio by 25.6% during the quarter. BBVA Argentina's consolidated market share of private sector loans reached 9.10% as of the fourth quarter 2022, improving from 8.05% a year ago. In fourth quarter 2022, asset quality ratio was 1.13% compared to the 1.07% recorded in the third quarter 2022. The mild increase is mainly explained by an increase in the retail nonperforming portfolio. The update of the IFRS 9 impairment loss model parameters had an impact on the coverage ratio, which reached 242.23%, above the 236.89% recorded in the third quarter 2022 and on the cost of risk, which reached 4.09% on fourth quarter of 2022, above the third quarter 2022's 2.65%. On the funding side, as seen on Slide 8, private nonfinancial sector deposits in fourth quarter 2022 totaled ARS1.3 trillion, falling 12% quarter-over-quarter and 3.7% year-over-year. Quarterly decrease was mainly explained by sight deposits. The bank's consolidated market share of private deposits reached 6.64% as of the fourth quarter of 2022. Private nonfinancial sector deposits in pesos increased 2.9% compared to the third quarter 2022. The quarterly change is mainly affected by a 15.7% increase in sight deposits followed by time deposits by 8.4%. This was partially offset by a decrease in investment accounts by 17.9%. Private nonfinancial sector deposits in foreign currency expressed in pesos grew 16% quarter-over-quarter, mainly due to a seasonal effect. In terms of capitalization, BBVA Argentina continues to show strong solvency indicators in fourth quarter 2022. Capital ratio reached 26.1%. Exposure to the public sector in the fourth quarter 2022, excluding Central Bank instruments, represent 10.1% of total assets, slightly above the 9.8% in the third quarter 2022 and way below the 16.4% reported by the system as of December 2022. It is worth mentioning that as of the date of this report, BBVA Argentina has distributed dividends by ARS13.2 billion installments one to 12, according to the established schedule published on June 16, 2022. The bank's total liquidity ratio remained healthy at 78% of total deposits as of December 31, 2022. This concludes our prepared remarks. We will now take your questions. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is from Rodrigo Nistor with Latin Securities.
Rodrigo Nistor: I have a few questions about your outlook for this year on the recently announced debt exchange. So in 2022, BBVA posted an ROE of 17.5%. Do you believe this level of profitability is sustainable in the long run? And then if you could provide some insights into the outlook for the current year, specifically, what are your expectations for loan and deposit growth?
Carmen Morillo Arroyo: Hi, Rodrigo. Nice talking to you. Okay. Yes, as you mentioned, we posted an ROE of 17.5%. We believe this ROE is sustainable basically because we see the monetary policy rate increasing, particularly in the second half of 2023. According to research from the actual 75%, it could reach 85% by the end of 2023. So the extra expansion in margins could help us sustain the ROE at the actual levels. Our macroeconomic projections, to give you an idea, are mainly for GDP. We are seeing the 2022 ending around 5.2% growth. But for 2023, we have seen a contraction of 1%. Inflation, which, as you know, ended around 95%, a little bit less. We are projecting for 2023, 105%. And the official FX, we are projecting for the end of 2023, ARS355, that is official FX. Regarding loan growth, we had -- we ended the year with a negative growth of only minus 3%. We're decreasing in real terms less than the system. The system decreased 29%. So we were able to gain market share in the loan book. And for 2023, we are projecting loan growth a little bit below inflation, around minus 2%, similar levels to what was this year. We are growing our loan book in the -- particularly in the commercial lines now with SMEs. For deposits, we ended 2022 with minus 4%, a little bit more than the system that has ended in minus 2%. And for 2023, we are projecting also negative real growth, but in line with loans, also minus 2%.
Rodrigo Nistor: Okay. And then a quick follow-up on -- with regards to the recently announced debt exchange for Treasury bonds, what is your intention if you're planning to participate? Or how do you think of this exchange?
Carmen Morillo Arroyo : Yes. So basically, we have an exposure of around ARS195 billion of Treasury exposure that excludes LELIQ. From that more or less 45% -- ARS45 billion are reserve requirements. So we have ARS150 billion less. From that number, from that figure, less -- that we would go into the voluntary extent with less than ARS50 billion. And that includes all the bonds that mature between today and June 30. Just to give you a reference, basically, you have to take that, that ARS195 billion, I mentioned represent more or less 50% of our equity and compared that to the system, that for the system, it represents 80%; and for the private, only 60%. The debt in pesos is only at 7% to [DDP] and that's only 7% of the debt in pesos is in hands of private holders. So that is basically our view. Now we are going to go with less than ARS50 billion into the voluntary exchange.
Operator: [Operator Instructions] Showing no further questions, this concludes the question-and-answer session. At this time, I would like to turn the floor back to Mrs. Lanusse for any closing remarks.
Ines Lanusse : Okay. Thank you for your time and let us know if you have further questions. Have a good day.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time, and have a nice day.